Operator: Thank you for standing by and welcome to the Braemar Hotels & Resorts Inc. Fourth Quarter 2023 Results Conference Call. I would now like to welcome Jordan Jennings, Director of Investor Relations, to begin the call. Jordan, over to you.
Jordan Jennings: Good morning and welcome to today's call to review results for Braemar Hotels & Resorts for the fourth quarter and full year 2023 and to update you on recent developments. On the call today will be Richard Stockton, President and Chief Executive Officer; Deric Eubanks, Chief Financial Officer; and Chris Nixon, Executive Vice President and Head of Asset Management. The results as well as notice of accessibility of this conference call on a listen-only basis over the Internet were distributed yesterday in the press release. At this time, let me remind you that certain statements and assumptions in this conference call contain or are based upon forward-looking information and are being made pursuant to the Safe Harbor provisions of the federal securities regulations. Such forward-looking statements are subject to numerous assumptions, uncertainties, and known or unknown risks, which could cause actual results to differ materially from those anticipated. These factors are more fully discussed in the company's filings with the Securities and Exchange Commission. The forward-looking statements included in this conference call are only made as of the date of this call, and the company is not obligated to publicly update or revise them. Statements made during this call do not constitute an offer to sell or solicitation of an offer to buy any securities. Securities will be offered only by means of a registration statement and prospectus, which can be found at www.sec.gov. In addition, certain terms used in this call are non-GAAP financial measures, reconciliations of which are provided in the company's earnings release and the company's tables or schedules, which have been filed on Form 8-K with the SEC on February 29th, 2024, and may also be accessed through the company's website at www.bhrreit.com. Each listener is encouraged to review those reconciliations provided in the earnings release together, with all other information provided in the release. Also, unless otherwise stated, all reported results discussed in this call compared the fourth quarter and full year ended December 31st, 2023, with the fourth quarter and full year ended December 31st, 2022. I'll now turn the call over to Richard Stockton. Please go ahead, Richard.
Richard Stockton: Good morning. Welcome to our 2023 fourth quarter earnings conference call. I will begin today's call by providing an overview of our business and an update on our portfolio, then Deric will provide a review of our financial results, and Chris will provide an update on our asset management activity. Afterwards, we'll open the call for Q&A. We have a few key themes for today's call. First, we continue to be pleased with the continued momentum of our urban hotels, which reported comparable hotel EBITDA of $11 million in the fourth quarter. Second, our two most recent acquisitions, the Ritz-Carlton Reserve Dorado Beach and the Four Seasons Resort Scottsdale at Troon North, are performing well and continue to exceed our original underwriting. And third, as we continue to diligently work through our refinancing program, we have refinanced or extended almost all of our 2024 debt maturities, including the recent refinance of the Capital Hilton in Washington, D.C., extension of our Pier House Resort & Spa in Key West loan, extension of our Ritz-Carlton St. Thomas loan, extension of our Ritz-Carlton Lake Tahoe loan, and extension on our Hilton La Jolla Torrey Pines loan. Turning to our fourth quarter results, our portfolio delivered solid results with fourth quarter comparable hotel EBITDA of $45.1 million. Our resort properties continue to outpace 2019 results and our urban properties continue to recover. Turning to RevPAR for all hotels in the portfolio, our fourth quarter RevPAR result of $288 reflects a decrease of 4.4% over the prior year quarter. I'd like to point out that while the performance at our luxury resorts experienced a decrease compared to historically high 2022 levels, we're very pleased with their overall performance, especially when you take into account that; A, both demand and rates remain solid versus historical comparisons; and B, their performance is still far outperforming 2019 results. We're also encouraged by January RevPAR results for our portfolio, which reflected growth of 2.9% compared to the prior year. Taking a closer look at our best-in-class luxury portfolio. Many of our hotels are well located in attractive high barrier-to-entry leisure markets. 10 of our 16 hotels are considered resort destinations, and this luxury resort portfolio continues to deliver strong performance with combined hotel EBITDA of $34 million during the quarter. Regarding our urban assets, our fourth quarter performance remained solid and continue to exhibit strong growth, generating $11 million of comparable hotel EBITDA. Looking ahead, we remain very encouraged by the continued momentum for this segment. And as we've emphasized before, demand continues to return to our cities, and Braemar's urban hotels continue to ramp up. This return continues to be driven by corporate transient as well as recent strength in corporate group demand as expected to accelerate during 2024, which Chris will discuss in greater detail shortly. Overall, as demonstrated by our results, our urban portfolio is in solid shape and we continue to believe our urban hotels will be the primary driver of growth for our portfolio in the coming quarters. Next, we remain very excited about our recent acquisition of the Four Seasons Resort Scottsdale at Troon North, which continues to surpass our expectations. Acquired in early December 2022, with cash on hand and with no common equity issued to fund the acquisition, it fits perfectly with our strategy of owning high RevPAR luxury hotels and resorts. Financially, it's also been a great addition to our portfolio as demonstrated by a strong fourth quarter and full year performance. We also continue to analyze the optimal solution for the nearly six-acre development parcel we acquired as part of the acquisition. Additionally, Braemar's other 2022 acquisition continues to perform very well. For the fourth quarter, RevPAR for the Ritz-Carlton Reserve Dorado Beach was $1,551, based on 58% occupancy and an ADR of $2,679. This RevPAR result reflects a growth of 8.9% over the prior year quarter. For the full year 2023, the Ritz-Carlton Reserve Dorado Beach achieved a 9.8% yield on cost, while the Four Seasons Scottsdale achieved a 7.3% yield on cost. Both of these luxury assets have outpaced our underwriting and looking ahead to the next several quarters, we remain very encouraged about the prospects for these well-positioned properties. Turning to Braemar's capital position. Our balance sheet remains strong, and we continue to emphasize balance sheet flexibility. During the fourth quarter, we extended our Ritz-Carlton Lake Tahoe loan. As the hotel debt capital markets continue to improve, we also refinanced or extended almost all of our 2024 debt maturities. Deric will discuss those in more detail in a minute. But taking a quick look, we extended the loan secured by the Pier House Resort & Spa, we also extended the loan secured by the Ritz-Carlton St. Thomas, and we refinanced the Capital Hilton in Washington, D.C., with a new $110.6 million mortgage loan. Additionally, the Hilton La Jolla Torrey Pines remains encumbered by the original mortgage loan, which now has been partially paid down to a remaining balance of $66.6 million. While we consider our alternatives regarding financing of this loan or potentially selling the asset, our lender has provided a six-month forbearance agreement. Further, regarding dispositions, if favorable opportunities present themselves, we would consider raising capital through selected asset sales. We're being prudent in our approach and for now are testing the markets on that front. As we look ahead, Braemar has a unique well-positioned portfolio and a solid liquidity position. In summary, we believe Braemar is on firm footing to perform well in both the near term and the long term. I will now turn the call over to Deric to take you through our financials in more detail.
Deric Eubanks: Thanks Richard. For the quarter, we reported net loss attributable to common stockholders of $31.1 million or $0.47 per diluted share and AFFO per diluted share of $0.04. For the full year, we reported net loss attributable to common stockholders of $74 million or $1.13 per diluted share and AFFO per diluted share of $0.61. Adjusted EBITDAre for the quarter was $37.4 million. Adjusted EBITDAre for the full year was $176.7 million. At quarter end, we had total assets of $2.2 billion. We had $1.2 billion of loans, of which $44 million related to our joint venture partner share of the loans on the Capital Hilton and Hilton La Jolla Torrey Pines. Our total combined loans had a blended average interest rate of 7.4%, taking into account in the money interest rate caps. Based on the current level of SOFR and our corresponding interest rate caps, approximately 74% of our debt is effectively fixed and approximately 26% is effectively floating. As of the end of the fourth quarter, we had approximately 39.7% net debt to gross assets. We ended the quarter with cash and cash equivalents of $85.6 million and restricted cash of $80.9 million. The vast majority of that restricted cash is comprised of lender and manager held reserve accounts. At the end of the quarter, we also had $17.7 million in due from third-party hotel managers. This primarily represents cash held by one of our brand managers, which is also available to fund hotel operating costs. With regard to dividends, we again announced a quarterly common stock dividend of $0.05 per share or $0.20 per diluted share on an annualized basis. This equates to an annual yield of approximately 8.8% based on yesterday's stock price. Our Board of Directors will review the company's dividend policy on a quarter-to-quarter basis, with a view to increasing it as financial performance continues to improve. During the fourth quarter, we closed on the extension of the mortgage loan secured by the Ritz-Carlton Lake Tahoe and Truckee, California. This nonrecourse loan now totaled $53.4 million, has a one-year initial term with one one-year extension option, subject to the satisfaction of certain conditions. The loan is interest only and has a floating interest rate of SOFR plus 3.6%. Additionally, during the fourth quarter, we refinanced the Capital Hilton in Washington, D.C. with a new $110.6 million mortgage loan. The new loan has an initial maturity date of December 2026, with two one-year extension options, subject to the satisfaction of certain condition and bears interest at a floating interest rate of SOFR plus 3.75%. The property continues to be owned by a joint venture in which Braemar owns a 75% equity interest. While we consider our alternatives regarding refinancing the Hilton La Jolla Torrey Pines loan or potentially selling the asset, subsequent to quarter end, the lender has provided a six-month forbearance agreement. During this time, the loan bears an annual fixed interest rate of 9%. This property also continues to be owned by the same joint venture and remains encumbered by the original mortgage loan, which now has been partially paid down to a remaining balance of $66.6 million. Subsequent to quarter end, we also recently extended the loan secured by the Pier House Resort & Spa in Key West, Florida. The loan now has an initial maturity date of September 2025, with one one-year extension option subject to the satisfaction of certain conditions, continues to have a balance of $80 million and bears interest at a floating interest rate of SOFR plus 3.6%. Finally, subsequent to quarter end, we extended the loan secured by the Ritz-Carlton St. Thomas and St. Thomas USVI. The loan now has an initial maturity date of August 2025, with one one-year extension option subject to the satisfaction of certain conditions, continues to have a balance of $42.5 million and bears interest at a floating interest rate of SOFR plus 4.35%. We have now refinanced or extended almost all of our 2024 debt maturities. A total of approximately $300 million in debt out of a total of approximately $330 million maturing in 2024 has been extended or refinanced. Looking ahead, we plan to fully repay the $30 million loan associated with the Cameo Beverly Hills, which is our only remaining 2024 maturity with cash on hand. We are also hopeful that the hotel financing environment will continue to improve as we've seen both rates and spreads decreased over the past few months. As of December 31st, 2023, our portfolio consisted of 16 hotels, with 3,957 net rooms. Our share count currently stands at 73.9 million fully diluted shares outstanding, which is comprised of 66.6 million shares of common stock and 7.2 million OP units. This concludes our financial review. I'd now like to turn it over to Chris to discuss our asset management activities for the quarter.
Christopher Nixon: Thank you, Deric. For the quarter, comparable hotel RevPAR for our portfolio decreased 4% over the prior year quarter to $288. Despite the declines, our portfolio RevPAR is still higher than the national average for the luxury chain scale. We continue to experience strength in our urban assets, with comparable total hotel revenue exceeding the prior year quarter by 2%. I would like to spend some time highlighting how our team has capitalized on the urban recovery, actively increased our group position across our portfolio, and driven strong performance at our new acquisitions. We experienced continued strength across our urban hotels during the fourth quarter, which achieved hotel EBITDA growth of 4% over the prior year quarter. The notary grew comparable hotel EBITDA by 29% over the prior year quarter. The team has worked to increase exposure of the autograph up branding at the notary, with an emphasis on the improved services, restaurant re-concept, and room renovation. During the quarter, our team proactively identified a trend that groups were using 30% fewer room nights in contracted, which was twice the historical trend and proactively resold that inventory to higher-rated retail business. This decision contributed to total hotel revenue growing 12% over the prior year quarter. Group room revenue for the fourth quarter exceeded the prior year quarter by 5% and was driven by strong short-term group booking activity in the quarter. We started the quarter with $15 million in on-the-books group room bookings for the fourth quarter. During the fourth quarter, we added over $10 million in additional group run revenue. As a comparison, on a more stabilized basis, in 2019, we added under $6 million of group revenue during the fourth quarter. One of our largest group hotels, Hilton La Jolla Torrey Pines, finished the quarter with $2.7 million in group room revenue, a 25% increase when compared to the prior year quarter. During the fourth quarter, San Diego benefited from strong convention demand. Our team was successful in securing a number of these citywide related groups. Many of these groups occurred in December, which has traditionally been one of our softest demand months of the year. We have been particularly pleased with the performance of two of our most recent acquisitions, the Ritz-Carlton Reserve Dorado Beach and the Four Season Scottsdale. At Dorado Beach, we conducted productivity benchmarking, optimize our various ancillary revenue streams, and redesigning the luxury villa sales program. In addition, we have also analyzed available space to add additional revenue-producing amenities. These efforts helped propel hotel EBITDA by 15% compared to the prior year quarter. The Four Seasons Scottsdale has benefited from similar initiatives and has increased hotel EBITDA by 14% compared to the prior year quarter. These included a recent food and beverage menu profitability deep dive where the team analyzed the profitability and order frequency of each menu item at every outlet to optimize profitability. Additionally, our team had a full review of opportunities at the spa. We strategically launched a program targeting the local demand for luxury salon. Additionally, we identified underutilized space in the spa, where we built out a retail platform and partnered with local vendors to merchandise their products. These initiatives have been successful, propelling our full year comparable spa revenue by 27% over the prior year. Moving on to capital expenditures. In 2023, the Ritz-Carlton Lake Tahoe started a transformational renovation spanning all areas of the hotel. We completed renovation of the guestrooms and suites, added a highly visible luxury retail outlet, upgraded the spa facilities, renovated the iconic club lounge, and added premium event space, as well as exclusive patio fireplace. In addition, we have renovated approximately 90% of the guest rooms and suites at the Capital Hilton, with the remainder to be completed in the first quarter of 2024, along with nine key additions. Finally, we have completed renovations of the fitness center and meeting space at the Part Hyatt Beaver Creek and the spa at the Ritz-Carlton, Sarasota. In 2023, we spent approximately $77 million on capital expenditures. For 2024, we anticipate spending between $90 million and $100 million on capital expenditures. As mentioned earlier, our urban assets are experiencing strong demand. Our portfolio is building a solid foundation of group business, and a number of our new acquisitions continue to outperform our underwriting. We are already launching new initiatives to further enhance our portfolio, which include transformative full property renovations and developing underutilized land. With these new initiatives underway, we are optimistic about the future for this portfolio.
Richard Stockton: Thank you, Chris. In summary, I'd like to reiterate that we continue to be pleased with the performance of our hotels, emphasized by the continued recovery of our urban properties. We also remain very well-positioned with a solid balance sheet and promising outlook. We look forward to updating you on progress in the quarters ahead. This concludes our prepared remarks, and we will now open the call for Q&A.
Operator: The floor is now open for your questions. [Operator Instructions] Our first question comes from the line of Tyler Batory with Oppenheimer. Please go ahead.
Unidentified Analyst: Thank you and good morning. This is Jonathan on for Tyler. Thank you for taking our questions. First one for me. The outlook for group seems very encouraging. Any additional color there you can provide where group is relative to 2019, the opportunity that sort of remains for the portfolio? And any thoughts on the sustainability of the strong close in bookings?
Christopher Nixon: Yes, thanks for the question, Jonathan. This is Chris. We were really happy with group production in 2023. We finished the year up 15% to prior year in group revenue. As we look ahead, group pace is favorable. In 2024, we're up 4% revenue. The team has done a great job being very surgical with where we're placing group throughout the year. We were hyper-focused and worked with each of our hotels to come up with optimal mix exercises in group targets by quarter. So, when you look at where our group is spread in 2024, Q3 is traditionally the softest quarter for this portfolio and our group revenue is up 14% in that quarter. And so we've been encouraged by the short-term strength we've seen in group bookings. We're up 4%. We've got much larger increases kind of strategically where we need it throughout the year, and we expect pace to continue to improve as we get into the year. As we look ahead to 2025, pace is up 22%. So, we've got a very, very strong foundation, and we're encouraged that a majority of that growth is an ADR, with ADR up 14% for 2025. So, we feel like the portfolio has got a very strong foundation of group business.
Unidentified Analyst: Okay, great. Very helpful. And then switching gears, can you help us think about the cost environment overall? What you're seeing on a per occupied room basis? And any expectations for kind of where that could go over the year?
Richard Stockton: Yes, Jonathan, great question. So, we're certainly feeling the cost pressures that everybody else is seeing within the industry. I think our team has done a great job in kind of managing that through driving efficiencies on property. When you look at Q4, our EBITDA margin for the portfolio was actually up 70 basis points in 2019. And so a lot of the efficiencies that we implemented through COVID continue to be utilized at the properties today. We have very strong house profit margin with some challenges. And so from a labor market standpoint, that typically plays heavily into our cost structure. We're seeing increased productivity across our hotels, which is great. Wages have been steadily increasing, but we saw the first signs of them starting to normalize in Q4, where those increases really started to decelerate in November over October, our hourly wage rate was flat, which was very encouraging. We're seeing reductions in contract labor across the portfolio. And so again, the cost pressures are there, but I feel like our team is doing a really, really great job managing through it.
Unidentified Analyst: Okay, that's great. And then turning towards dispositions, any additional color you can provide; on the testing the markets commentary maybe on the type of assets or locations than make sense? Or is everything kind of on the table right now and is more seeing what type of pricing is out there at this point?
Richard Stockton: Yes, all I can really point to is what we've already said. I referenced the fact that we have a short-term forbearance agreement on the Hilton Torrey Pines. That's one that we're actively considering selling or refinancing, but certainly selling. And I get comfortable with that in that it's not a luxury hotel, right? And luxury is clearly our strategy. And it's also a part of our Hilton JV with Park Hotel. So, we own 25% of it. I think, longer term, we'd like to have fully-owned positions in our core assets. So, there might be something more to report on that one in the future.
Unidentified Analyst: Okay, very helpful. Thank you for all the color. That’s all from me.
Operator: Our next question comes from the line of Michael Bellisario with Baird. Please go ahead.
Michael Bellisario: Thank you. Good morning. Hi. Just wanted to follow-up on Torrey Pines there. Can you maybe help us understand what is the sale versus refinancing analysis you're doing? And then also just the size of the loan today, after you paid it down, it's now at 20%-plus debt yield, is there a renovation needed or something else about the hotel that's impacting value or where you might be able to finance it?
Richard Stockton: Yes, hey Michael, it's Rich. Yes, good question. There is renovation needed, just going to start with that one. I think the last time that hotel was renovated is probably 12 years ago. So, yes, that would be part of the alchemy that we utilized to consider whether or not we should hold or sell something. It's under leveraged from a kind of single asset financing perspective, only as a function of the pay down in order to extract the capital helping from that cost collateralized loan and financial. So, it could certainly support higher loan proceeds. And so that's something that we're having to look at. But it might be one of the worst kept secrets in the world that we have been out talking to potential buyers as well. And the decision will come to whether or not we believe the prices that we receive reflects appropriate value as simple as that. So, we'll let you know.
Michael Bellisario: Understood. And then is there a pecking order for if you sold or refinanced the property and it excess proceeds, what you do with those?
Richard Stockton: Do you want to talk about that, Deric?
Deric Eubanks: Sure, happy to. We've got some capital projects that we're looking at. We've talked about the opportunities that we have with some vacant land across the portfolio. We obviously want to pay off the debt and delever some, but I think ideally, it's to reinvest in some of our assets.
Michael Bellisario: And then just my last question sort of along those same lines, just on the Tahoe development. How much money was spent in 2023? What's included in that CapEx budget in 2024? And then any update to share on the timing of both entitlements and potential groundbreaking for the project? Thank you.
Richard Stockton: Yes, sure. Good question. So, not much money has been spent to-date. The 2023 was low single-digit millions, I'm going to say, I don't have them right in front of me. But the process there is, one, going through an entitlement amendment with Plaster County. And as a result, you do have to hire certainly architects and engineers and the like in order to do that submission and get through the various questions that they have in order to award the entitlement amendment. We're going through a relatively straightforward, I would think, entitlement amendment that reduces the entitlements that were in place on that parcel from 62 units for sale to 18 townhome units for sale with lock-offs. That gives you a total of 38 rentable keys if they are contributed to a rental pool. The process of building in Plaza County involves what they call Grady windows, which run from May to October. So, you can't move soil outside of that window, and that's to prevent erosion associated with the snowfall. And so it looks fairly unlikely that we'll have the entitlements in time to start grading this year. So, we would target grading in May of 2025. As a result, expenditure will be rather limited also for 2024. Total project cost is in the area of $80 million on that. So I would think about half of that would be spent in 2025 and about half in 2026, something like that, with maybe again some consultant type soft costs extended to 2024 that would number in the low single-digit millions.
Operator: [Operator Instructions] Our next question comes from the line of Bryan Maher with B. Riley Securities. Please go ahead.
Bryan Maher: Thank you and good morning. Just a couple for me. Maybe start with Deric. The extensions and the loans that were addressed for this year were pretty short-term in nature. I mean was that strategic? I mean is the bet that interest rates are going to come down and you'll refinance them again at lower rates? And if, in fact, that holds true, would you be inclined to go more fixed rate debt in the future than you currently have now?
Deric Eubanks: Thanks Bryan. I'd say a couple of things. I mean, one, the financing environment continues to be a little challenging when it comes to hotels. Obviously, we've got very desirable assets that are very low leveraged. And so I think from Braemar's perspective, it's a little bit different than the rest of the market. But typically, the current lender that you have is kind of your best -- the best lender. But we've also wanted to be strategic about having a very well-laddered maturity schedule. And I think if you model out what our maturity schedule now looks like with some of these shorter-term extensions, while maintaining some pretty attractive spreads that we've got a very, very attractive maturity schedule looking forward in terms of the amount of debt that's maturing any given year. It's somewhere around 10%, 11% of our asset value. So, very, very manageable, very low leverage. I would say we continue to prefer floating rate debt just because as I've said before, you're typically going to pay less over time, and you're typically going to have much more flexibility in terms of either refinancing that loan or selling an asset and paying the debt off, et cetera. So, -- but we do have a mix. We've got a mix of fixed and floating. And I think we'll probably continue to have a mix. But I'd say our preference continues to probably lean towards the side of floating rate.
Bryan Maher: Okay. And maybe for Richard or Chris, when we think out to the summer and luxury leisure bookings, most of us were all aware that last year, it looked like people started to go abroad again. Do you have insights into the booking window? Or is it too soon to think about how the summer is going to shape some of your luxury properties?
Richard Stockton: Yes, great question, Bryan. So, we are seeing the booking window expand. I think it's a little bit early for leisure in terms of the summer. I do think we've been encouraged by some of the stats we've been seeing from international inbound and what's expected in terms of next year and so that's going to be a tailwind. I think in terms of our resorts, the summer periods are always a bit softer. And so we've, kind of, proactively hedged against that with our group position where we're building up our group base, Q2, Q3, and our resorts to kind of insulate and mitigate any normalization of demand. We are encouraged by kind of what we're seeing in our urban hotels and the continued uptick we're seeing strength out of our corporate business at our urban hotels. We've got pretty strong citywide calendars through 2024, most of our major markets, especially Seattle and Chicago. And so I think when you kind of couple those two things, from a leisure standpoint, we're fairly well insulated.
Bryan Maher: Okay. And just last for me. I mean when you look at the results across the portfolio. I mean it kind of jumps out at you the occupancy levels, often in the 50, 60 percentile range. And I know the long-term nature of you want to keep rates high, drop to the bottom-line, occupancy has to be serviced. But I mean what are your thoughts there about taking that occupancy five or seven percentage points by lowering rate and maybe capturing some of the ancillary revenue at the various resorts? I mean what was the thought process from the firm there?
Richard Stockton: Yes. So, our preference, as you said, is definitely to get rate over occupancy and it's rate-focused. We've got a revenue optimization team that really digs in property-by-property to come up with kind of the optimal strategy and so it's a case-by-case basis. I can tell you, Q4, especially at our resorts, were impacted by snowfall. We had really, really tough snowfall at both Beaver Creek and Lake Tahoe, Beaver Creek. Snowfall for the fourth quarter was down about 60 inches, and then Tahoe was down almost 170 inches and so that really impacted demand. So, I wouldn't say that we're at a point where we're looking to sacrifice ADR for increased occupancy, but we are strategically looking at some of those more discount-related channels that we probably haven't had open in the past and whether or not we need to open them. We're taking a hard look at our marketing programs to see if we can drum up some additional demand. And then we're being strategic at certain points of the year in our resorts, where we can target more aspirational group customers that may not be able to afford us during peak season that we can go after in off-season. And so we're doing some things that are occupancy focused, but we're not at a point where we want to sacrifice rate to go and fill up our occupancy.
Bryan Maher: Okay, thank you. That’s all from me.
Richard Stockton: Thanks Bryan.
Operator: This concludes today's question-and-answer session. I would now like to turn the call over to management for closing remarks.
Richard Stockton: Thank you all for joining us on our year-end earnings call and we look forward to speaking with you again next quarter.
Operator: That concludes today's call. You may now disconnect.